Operator: Good day, ladies and gentlemen. Welcome to the SmartCentres REIT Q3 2024 Conference Call. I would like to introduce Mr. Peter Slan. Please go ahead.
Peter Slan: Thanks very much, operator and good afternoon, everyone, and welcome to our third quarter 2024 results call. I'm Peter Slan, Chief Financial Officer and I'm joined on today's call by Mitch Goldhar, SmartCentres' CEO and Executive Chair; and by Rudy Gobin, our Executive Vice President, Portfolio Management and Investments. We will begin today's call with some comments from Mitch. Rudy will then provide some operational highlights, and I will review our financial results. We will then be pleased to take your questions. Just before I turn the call over to Mitch, I would like to refer you specifically to the cautionary language about forward-looking information, which can be found at the front of our MD&A. This also applies to comments that any of the speakers make this afternoon. Mitch, over to you.
Mitchell Goldhar: Thank you, Peter. Good afternoon, and welcome, everyone. The momentum in retail fundamentals noted in previous quarters continued in Q3. Rental growth, cash collections and same property NOI continued to drive solid metrics and higher occupancies, which ended at 98.5%, demonstrating the strength of SmartCentres' portfolio. The strategic nature of our locations also drove 187,000 square feet of executed deals on vacant space and 220,000 square feet of deals for new retail construction year-to-date. Our tenant partner relationships continue to deepen with same-store expansions in new stores, either underway or beginning construction shortly with names such as Canadian Tire, Winners, HomeSense, LCBO, Sobeys, Loblaws, Dollarama, DOL-T, TJX-N and more. We are simultaneously enhancing the shopping centre experience beyond the everyday essentials with health and beauty, entertainment, fitness, medical, pet stores, take cares and more. As we work closely with our tenants, every detail matters in providing a welcoming environment for customers, and therefore, it is not surprising, we have already extended over 88% of our 5 million square feet of tenant maturities in 2024. Also reflecting a strong quarter is the 6.1% or 8.9% from exclusive of acres exclusive anchor tenants, rental rate lifts achieved on these expansions -- excuse me, extensions. Rudy will provide some further details in a minute, but here are a few more operational highlights. Same-property NOI, excluding anchors for the three months ending September is up 8.2% and including anchors, nearly 5%. Our opportunistic industrial development in Pickering on 407 is now fully leased on long-term leases. Cash collections remained strong at over 99%, again, a reflection of the quality of our income and strength of our tenants. And we expect this momentum to carry on through the year into 2025. Built on this strong and stable cash generating platform, we continue to build and secure significant mixed use permissions with over 59 million square feet already zoned. And as you know, on lands we have owned for many years. We, of course, will be strategic and financially prudent in executing any project that is when market conditions permit and with appropriate financing in place. Here are some specific highlights. Site works and excavations were completed and construction is advancing for our 36 story ArtWalk project here in the VMC, comprising of 320 sold-out condominium units. To our Smart Living brand, The Millway or 458 unit apartment rental project, which was complete late last year, was 93% leased at quarter end, above planned rental rates. We expect to be above 95% leased by year-end. Construction of our Vaughan Northwest townhomes with our partner is progressing well with 47 closings taking place this quarter. And nearly all presold units expected to close on schedule by the end of this year or first quarter next. In lease side, construction is well underway for a 224,000 square foot retail centre comprising primarily of a preleased 200,000 square foot flagship Canadian Tire store. Opening is on schedule for early 2026. Our self-storage portfolio comprising 10 operating projects, which now accounts for over 1.3 million square feet at 100% with four currently under construction. Completion will begin -- completion will bring the total to 1.9 million square feet. This strategic initiative portfolio continues to overperform and we intend to carefully expand it. The next such expansion will be in Laval East, adjacent to our operating shopping centre and in Victoria, B.C. just off the downtown core. Our development teams continue to work diligently across the country in large and small markets obtaining strategic residential permissions. Just recently, we were successful in two of our BC projects, achieving 2.7 million square feet of residential zoning in Penticton and Salmon Arm. These and our other 50 million square feet of residential zoning achieved allow us to launch or sell when market conditions align and enhance our shopping centres along the way to complete our vision of evolving our shopping centres into dynamic communities. We are pleased to announce that our annual environmental, social and governance report has been released, reflecting the significant programs progress we have made in all areas of our business. As I've said previously, ESG is moving into the fabric of our organization is a part of how we oversee our business, interact with our tenants and engage with our employees and communities. You can find a report on our website and please refer to the ESG section of our MD&A for more details. As you can see, we are very active in enhancing value in our retail operations, prudent governance and strategic with our significant mixed use development pipeline. We also take care in maintaining our conservative balance sheet and improving liquidity, which we did previously when increasing our operating line by $250 million to $750 million, increasing our unencumbered asset pool to $9.4 billion and raising $350 million in the quarter, which Peter will speak to in a few moments. Before that, let me pass the call over to Rudy for some operational highlights. Rudy?
Rudy Gobin: Thanks, Mitch, and good afternoon, everyone. The third quarter was a stand out in virtually every meaningful operating metric. Tenant demand for more locations continues delivering high-quality income across all provinces and to a collective 98.5% occupancy. With a national platform, SmartCentres allows any tenant to easily double or triple down on locations being sought. It starts with one conversation and one lease template, whereby SmartCentres is able to accommodate over time, 40 LCBOs, more than 50 TJX banners, over 60 Dollarama stores, over 70 Canadian Tire banners, 100 Walmart stores and over 120 of the five largest banks in the country. It is in these deep-rooted relationships developed over decades that SmartCentres provide the highest quality, high-traffic value oriented centres that align landlord, tenants and their Canadian consumer. The accelerating pace of new tenant demand also adds to the great existing tenant mix to improving cash collections and even higher occupancy, as you've seen. As Mitch mentioned earlier, in responding to the needs of each community, SmartCentres has been adding uses such as medical, day-care, entertainment, health and beauty, fitness and pet stores and more, providing that convenient one-stop place to shop. With the strong demand for retail across the country, we've executed nearly 187,000 square feet of deals in the quarter, filling small and large vacancies, signed 220,000 square feet of deals for new build retail year-to-date. And we have extended over 80% of our 5 million square feet of lease maturities in 2024 with rental lifts at 8.9%, excluding anchors, 6.1% all in. Our headline grocers, Loblaws, Sobeys and Metro with their banners number over 50 in our portfolio and more new construction is planned for these names. The level of activity not only drives sustainable growth in rents, but enhances our flexibility and improves our overall covenant and cash flow. Our premium outlets continue to excel in driving traffic and improving sales, leading to strong growth in EBITDA and value to the REIT. Tenant sales has our Toronto Premium Outlets in the top three highest performers in Canada and remains an outperformer in Simon's portfolio. Our Toronto and Montreal locations remain 100% leased with rental lifts and EBITDA continuing to come in ahead of budget. These affordable luxury centres and world-class brands continue to dominate in their segment. Overall, the REIT is strengthening its covenant and value with strong rental lifts, NOI growth, cash collections, tenant retention, while delivering a broader array of tenants to meet the evolving need of each community. We expect this momentum to continue into Q4 and well into 2025. With that, I'd like to turn it over to Peter. Peter?
Peter Slan: Thanks, Rudy. The financial results for the third quarter once again reflect the strong performance of our core retail business with improved occupancy and continued contribution from our mixed-use development portfolio. For the three months ended September 30, 2024, net operating income increased by $5 million or 3.4% from the same quarter last year, largely due to an increase in base rents partially offset by a decrease in condo and town home closings relative to the same quarter last year. FFO per fully diluted unit was $0.71 and compared to $0.55 in the comparable quarter a year earlier. The increase is primarily due to the fair value adjustment on our total return swap, resulting from an increase in the unit price as well as from higher rental revenue, partially offset by higher interest expense. During Q3, we also delivered and closed on 47 units of our Vaughan Northwest Townhomes project. FFO with adjustments, which excludes both the townhome profits and the TRS was $0.53 per unit for the third quarter compared to $0.54 a year earlier. The decrease of $0.01 was primarily due to an increase in net interest expense, largely because we are no longer capitalizing interest on our Millway apartment project. We maintained our distributions during the quarter at an annualized rate of $1.85 per unit. The pay-out ratio to AFFO for the three months ended September 30, 2024, was 75.2% or 90% for the trailing 12 months. Adjusted debt to adjusted EBITDA was 9.8x for the rolling 12 month period ending in Q3, which is a slight decrease from 9.9x last quarter, primarily due to the reduction in TRS debt and the repayment of debt from the town home closings. Our debt to aggregate assets ratio was 43.6% at the end of the quarter, a 10 basis point decrease compared to last quarter. Our unencumbered asset pool increased by approximately $60 million to $9.4 billion in Q3 as compared to last quarter. Unsecured debt, including our share of equity accounted investments, was $4.4 billion virtually unchanged from the prior quarter and represents approximately 82% of our total debt of $5.4 billion. From a liquidity perspective, we remain comfortable with our current liquidity position. As of September 30, we have approximately $863 million of liquidity and which includes both cash on hand and undrawn credit facilities, but it excludes any accordion features. During the quarter, as we mentioned on the Q2 call, we increased our liquidity through the issuance of $350 million of Series AA senior unsecured debentures. The proceeds from this offering were used to repay our Series O debentures upon their maturity and to repay higher interest floating rate debt on our operating lines. The weighted average term to maturity of our debt, including debt on equity accounted investments is 3.2 years. Our weighted average interest rate was 4.09%, a decrease of 16 basis points from the prior quarter. Our debt ladder remains conservatively structured where the most significant aggregate maturities are in 2025 and 2027. Approximately 85% of our debt is at fixed interest rates. Just before we open the call up to questions, I want to touch briefly on our development projects that are underway. Once again, we have updated our MD&A disclosure focusing on those development projects that are currently under construction. As you can see on Page 17, there were eight projects under construction at the end of Q3, unchanged from last quarter. The self-storage facility in Stoney Creek is now open as of early Q4, and with the other three self-storage projects scheduled to open in 2025. So that Stoney Creek project will come off the list next quarter. The REIT's total share of capital costs on these eight development projects is approximately $482 million with the estimated cost to complete standing at $275 million. Finally, we also entered into a construction facility for the 224,000 square foot retail project anchored by Canadian Tire and lease side that Mitch described earlier. That construction facility totals $135 million, and it was undrawn at quarter end. And with that, we would be pleased to take your questions. Operator, can we have the first question on the line, please.
Operator: [Operator Instructions] The first question is from Michael Markidis from BMO Capital Markets.
Michael Markidis: Congrats on good quarter and zoning achievement in BC. Maybe just touching on that zoning achievement. Mitch, you made a comment about developing and you've been very disciplined in terms of when market conditions aligned. Curious as to your thoughts about when conditions may align to ramp up development, whether it be via the putting into production residential development or actually selling some?
Mitchell Goldhar: Yes. I mean I think it's better than it was last quarter and last quarter was a little better than the quarter before. But it's not there yet. I guess the direction is positive. It's hard to predict when the market conditions might weren't considering going ahead with any sizable deal. Certainly, we might be a little more conservative than a private developer, condo developer might jump in before us. So we might be able to -- we might see some potential sales of this density, sooner than maybe we would commence. But if I had to guess, I mean second quarter next year, we could see potentially some action or if we're lucky, maybe middle to the end of first quarter next year, hopefully. But say, is just the new election, there's going to be a lot of fact things going on that are going to influence the variables in the market.
Michael Markidis: Okay. So I mean tough to predict, obviously, but things are slowly getting -- moving in the right direction. Sounds good. Okay. One of the things we've heard fundamentals in retailer are great, showing up in your operating stats and you're seeing property NOI growth this quarter. Now I'm just curious, on your – you note the rental spreads that you're getting on the non-anchor space. On this leasing, one of the things we heard about is people pushing maybe go a little bit more in terms of the contractual increases throughout the term of the lease. Is that something that you guys have been executing and successfully?
Mitchell Goldhar: I'm not sure what you mean by that. Can you say that another way?
Michael Markidis: Yes. Sorry, that was a little drawn out question for sure. So I guess just on the non-anchor leasing you're doing. Are you able to push for higher increases throughout the duration of those leases, just given the strengthening fundamentals?
Mitchell Goldhar: I'll start and then Rudy, you can weigh in. But I mean we cannot increase rents. Obviously, most of our rents are fixed and we really -- we don't negotiate or try to open negotiation on rents that are fixed. So as it sits. I mean they have built-in bumps, but they're built in bumps for the time. But at the end of terms, which we're going to see more and more because of the -- it just so happens that the age of our or retail in our leases is such that we're getting into extension terms. More and more of our leases will get into extension terms where a lot of them are at market. And so we have historically been kind of the -- or tried to be profitable at the lowest possible rent. And that's part of the formula being aligned with the Canadian consumer. But at the same time, making good returns. But they're actually now somewhat out-dated. So a lot of those leases that are coming up that are being extended and we do have a high percentage of extensions because our locations are in to locations and they're now infill locations, a lot of them. Those rents are out-dated and fair market rent is not just what it used to be a couple of dollars a couple of dollars. It's more than that now. So interestingly, you're starting to see our portfolio start to turn over and us reset our rents to the new market, the new market being in many -- most all the markets across the country with a few exceptions. Rudy, do you want to add some color to that?
Rudy Gobin: Yes. Not sure, Mitch, how I could add more to that than you just had. But the only thing that's different is there's not a lot of new retail centres being built in the country. And therefore, the tenants that are demanding more space want to be in Walmart anchored centres because Walmart is such a great driver of traffic and they're doing so well that it makes the demand for our space and you see it in the occupancy so much better. And like Mitch said, we started off years and years ago in this value-oriented space, not trying to get the highest rent we can. It's still not the highest rent we're always seeking what we're trying to be reasonable but the lists are looking good because of the solid demand and the improvement in what people view as what a great location and a great mix of tenants we have already. So, the infill nature of it, yes.
Michael Markidis: Yes, for sure. Okay. And if I understand you correctly then, I mean, I think we're all familiar with the nature of the Walmart leases, but it sounds like you're alluding to maybe non-anchor what you don't consider to be necessarily anchor space that had fixed rate renewal options for maybe several renewal terms and those are starting to burn off. Is that fair?
Mitchell Goldhar: Yes. I mean, it depends, but lots of those anchor tenant deals are going -- anchor tenant deals go-to-market as well at some point. And they do move the needle and we've got more and more of those coming up.
Michael Markidis: Okay. Great. Last one for me before I turn it back. Just Peter, on the Millway, you noted the dilution from the no way, no longer being capitalized. Can you just remind us what type of debt is on that asset now that it's stabilized? Is there a takeout opportunity that could be accretive for you going forward?
Peter Slan: Absolutely. So we're working through some CMHC financing to take out the construction financing. That will be -- I would expect that will be a Q1 2025 item.
Mitchell Goldhar: I'll add to that as well that we are anticipating that to be a positive accretive refinancing.
Operator: The next question is from Lorne Kalmar from Desjardins Capital Markets. Lorne Kalmar
Lorne Kalmar : I just want to circle back to something I believe Rudy mentioned talking about building space for grocers. I was wondering if you could give us a little bit more color on that program. And if it hinges on the potential removal of exclusivity clauses from tenant leases or not?
Mitchell Goldhar: I'll cover that one. In terms of the grocery store program. It does have some -- I mean it's got momentum with us. We're doing a number of food store deals will be build subscribes, ground up construction. And I'd say some of them have that situation that you're referring to, where somebody could potentially -- somebody's approval might be required is somebody who might have a restriction. So I'll just answer that by saying it does appear to -- I mean there's movement both on the food store side and on the policy governmental side to change food restrictions, mostly it's driven by food. There are restrictions with other types of users. So I would say sometime in the next year or two, there's going to be more competition in food. And you'll see that on our sites for sure. And I'll just come back to the first part. For us, it's going to move the needle, the number of food store deals that we've got in negotiation right now.
Lorne Kalmar: And then would these be at like would these be at centres that already have a Walmart with food or they would be not anchored?
Mitchell Goldhar: Both. I mean, there's negotiations going on, let's just say, in Orleans. We don't have a food stall there. We have a shopping centre across the road from this centre with food, but not on this property. Negotiations going on in some markets where, yes, there's Walmart. But we're anticipating some of the changes that you mentioned but there's just a couple of those and we'll see how that goes. And there's -- so I would say the majority of them actually don't have the restriction issue, but some do.
Lorne Kalmar: And then just quickly on the closings. It looked like you guys did pretty well this quarter. Obviously, there's been concerns around the closing side of things, right or wrongly. I'm just wondering if through the process so far, if you've seen an elevated rate of buyers not closing versus historical or if it's kind of normal course?
Mitchell Goldhar: It's not normal course, I would say. There's no such normal course, there's no history of closings in the last 10 years. And there used to be, I don't know, hold you are but I assure you there was a period where it was not unusual for buyers about to close. I think we are entering an era or whatnot, a period where you'll see buyers not closing, which just kind of depend. Whereas we have not seen that for a long time.
Lorne Kalmar: Okay. And then maybe just one really quick one for Peter. Is there anything onetime in nature expected in NOI for 4Q? Or we've got a pretty good run rate here on a year-to-date basis?
Peter Slan: Yes. On a year-to-date basis, it's a pretty good run rate, we think.
Operator: The next question is from Dean Wilkinson from CIBC World Markets.
Dean Wilkinson: First one for Peter maybe. On the $1.7 billion of assets classified as PUD, how much debt would be against that number?
Peter Slan: Well, so we don't break out exactly what's on the PUD versus what's on the income-producing portfolio, Dean. And as you know, most of our debt is unsecured. And so it really looks to the entire portfolio across both ITP and PUD. When we acquired the VMC West Lance, we did incur some debt specifically on that. As you may recall, that was back in 2021. But most of it is part of the unsecured portfolio.
Dean Wilkinson: So where I'm going with it is, I look at the stock price, I look at the balance sheet and [$25 and a six cap], it's effectively zeroing out the PUD. So not only are you not getting credit for the zoning and the upside, you're probably not getting credit toward work that you've already done. One, do you think that it's just completing these projects and then having them flip over to IPP that we'll see the realization of the value. And then two, if that's the case, would it have you maybe rethink how much of the balance sheet you're willing to put into that bucket if the market is not going to reflect that value?
Peter Slan: I'm going to defer to Mitch on that.
Mitchell Goldhar: This is -- I mean, I think you haven't said that in the form of a question. That would be just a standalone statement. So yes, I mean, there's a lot of value in the company. That's the bottom line. We've been saying it for a long time. It will eventually come out in a wash. But whether you look at it like you did, which is right way to look at it, or you look at it. Otherwise, there's a lot of value and real estate people would recognize that if you looked at the permissions like you said and you look at the PUD and you look at our stock price and you look at the cap rate, I mean, it's like zero for density and for most of our PUD. So we know what to do with all that. We know what to do with the density. We know what to do the PUD. We're going to do it, and it will come out in the wash.
Dean Wilkinson: Yes, I agree. That's why you're there and I'm here.
Operator: The next question is from Gaurav Mathur from Green Street.
Gaurav Mathur: Just given the debt maturities that are coming due in 2025, could you share some light on where the secured versus unsecured financing rates would be?
Peter Slan: Yes. So we have two debentures, two unsecured debentures that mature in 2025, Gaurav. The first one is at the beginning of the year, it's relatively small. It's $160 million, if I recall correctly. And the second one is at the back end of the year, very late in the year, December, so over a year from now. Spreads have been tightening. Rates have been -- we've seen three rate cuts over the last three or four months. And so rates have been improving. We certainly haven't made a decision today about whether we would refinance those at what term, if it's 3, 5, 7, 10-year terms. That's something that we look at kind of opportunistically based on the rates at the time of those maturities and what fits in well with our existing debt ladder. But rates have continued to improve. And I think the -- most of the bank economists that we follow would suggest that there are future rate cuts to come between now and those upcoming maturities. And so we'd expect them to continue to improve, but I can't tell you today what the rates are likely to be when those maturities actually happen. On the secured side, we have seen very strong demand from all of our lenders on retail products. There we tend to go a little bit longer. We tend to go in the 7 to 10 year terms. And we always -- as you know, most of our portfolio is unsecured but we always have small centres, particularly those where we have partners where we continue to access the secured debt market. And as I say, there's been strong lender appetite for those and so we would expect attractive rates. But again, it will be a determination at the time of those maturities as to where we are in the market and what rates look like at the time.
Gaurav Mathur: And I guess just switching gears here towards dispositions. We've talked about it in the past where you've talked about disposing land and commission. I'm just getting -- just wondering, the rate environment goes lower. Has that improved market conditions in any manner?
Mitchell Goldhar: Yes, it has. But yes, it's still not there. We're not sellers out at prices that we think are just not justified. There's an overcorrection, if you will, on pricing right now for buying. But at least there's a market now. So it's improving. Hopefully, we'll get there. We're not going to hold out for anything like the peak. And we certainly don't see that in the foreseeable future. But we're not there yet pricing wise for us to sell this density. So -- but it will come. And when it does, the difference between now and 6 months or 12 months or whatever may be well justifies weighting in my opinion.
Gaurav Mathur: And then just as a follow-up. In that time period, is there any part of the portfolio that's attractive from a non-core perspective and could be potentially disposed of?
Mitchell Goldhar: Look, we have a network of shopping centres, like they don't operate like you drive by one and two and you sort of feel maybe. But there is a world like that food and general merchandise with needs and other basics that is intricately weaved together that our network create additional value as a result of our network. So we don't just look at selling a single asset as selling a single asset. It's part of the ecosystem that is our positioning in our space in this country. So that is also not, of course, reflected in our unit price. So it would have to be very compelling for us to sell one of merge centres but it could happen. It does happen sometimes. And I'm being conservative in my reflection of the timing of selling off density. But that's real estate. I mean real estate is a long-term game. And so, moving real estate isn't something -- let's put this right way. If you want to move real estate quickly, you are going to be doing it at a severe discount. So I do see and we do see capital raising happening. We see the light now or say a year ago, there wasn't really much light. We just don't know what form it's going to take but we're open to it. We're considering things all the time. But we're not worried because in the meantime, we have very strong tenants, very strong IPP. And interest rates have moved in our direction and there's a few things finally doing in our direction. So seeing nothing of rental rates, et cetera, et cetera. So there's we're going to do this in a measured and proper way, but we will get there.
Operator: The next question is from Mario Saric from Scotia Capital.
Mario Saric: Maybe just summarizing the destination discussions so far. I think you mentioned last quarter highlighted the position target of $250 million to $350 million, timing-wise, more like '25 and '24. It sounds to me about to do a fair assessment of your plan in terms of quantum and timing and most of it would be residential land. Is that fair?
Mitchell Goldhar: Yes. I mean it's going to be branded both because probably we plan is both. It's the permissions on the retail lands that we have. That's some of our most interactive -- residential land is actually within our shopping centres. But I would say that timing is still look, when it happens, when it moves, it moves across the board. So we'll be able to execute on, hopefully, that kind of order of magnitude. So it could go from zero to a lot. That's real estate. So hopefully, we'll be in 2025-ish, 2025, 2026, we will be able to move some land and to the extent of those $250 million, $350 million sort of thing?
Mario Saric: And what you see is the governor in terms of the quantum only pricing would be one. But what would incentivize you to instead of $250 million to $350 million much higher than that if pricing is pretty strong?
Mitchell Goldhar: I tell you, I'm just being conservative with you guys. I mean if the market -- who's an appetite and we can do more, we're not -- we don't have to build all residential. I mean, we've got, in a sense, kind of an infinite amount of density, right? I mean, if you think about it, if we sold 5 million square feet, we still have 50 million square feet. And we're good at -- that's our thing. We're comfortable in the land use world. So we can generally speaking, over time, create more our locations continue to get better. So it's a bit of a renewable resource for us. So we're not going to hold back. It's not like, well, nothing for ourselves to develop. We do want to end up with rental residential we want that to be part of our shopping centres, it's good for our shopping centres. It renews our shopping centres, it renews our shopping centre. It's slowly but surely creates a community within your shopping centre. It's part of how we see the future. So it's good for the retail and vice-versa. So we want to end up with that. And we get some of that when we sell and someone builds a condo. But I would say we're not going to be shy. If the market is big, I mean, not because of our debt metrics and our debt-to-EBITDA necessarily, we want to bring that down, and we're very focused on it. But we may just do it because it's going to make doing our rental residential program that much more accretive and attractive. So it could be bigger. But I think the minimum that would sort of make a difference with us would be $250 million ideally $350 million, but could be more, for sure.
Mario Saric: To your point on the residential I personally see that first hand at Trafalgar and Dundas almost every day. So I can appreciate the developments of it to the retail for sure.
Mitchell Goldhar: Multiply that by 100 locations. And that's why we're behooves us our unit price, but it is what it is right.
Mario Saric: Fair enough. So, just on the residential that you've been in retail for a very long time. And one topic of conversation, not just for residential but at different retail in the past month, but come up has just been the federal government's potential integration policy change, which is aimed to effectively kill population growth in the country for the next two years. I'd be curious to hear what your thoughts are on the matter. Like if the government does go through it, is there an impact to SmartCentre's portfolio or the broader retail landscape in general and coming back to the rotten market or residential in general? Are there implications in terms of land value population growth after a period of some pretty strong growth comes to all?
Mitchell Goldhar: I think land values were unjustified. Land values being density values were unjustified. And I don't think they'll come back, and I hope they don't come back and we should all hope they don't come back. So I do think we're going to see trades at more at lower prices, which is fine. In our case, we're getting zero for right now and it doesn't cost us that much to do. We're not buying land. We're just using our -- it's mostly consulting fees and intellectual capital. I mean, so it's quite accretive to us. In terms of demand, I also think there's going to be, in a sense, more supply than demand across the country crudely. But I think if you got an always I think has been through good locations, mass transit, amenities, changing demographics for whatever that may mean people just moving around. You're in prosperous parts of the country. I think they'll need demand -- enough demand to absorb whatever percentage of our density. You've got 5 million feet and we built -- easy math we built on average 1 million square feet you that's 50 years. I mean it's a concept, like I can't think in terms of 50 years from now, but it would move the needle. I think at Transit City, we built our share 1.5 million square feet and you saw what it did. And I think we will build on average more than 1 million square feet a year of residential on average when it kicks in just because our locations are good. We're on mass trends. We're in evolving areas, prosperous areas. We've got amenity. So if we build on average over the next 20 years, 1 million to in million to 2 million square feet a year of residential. And there might be some maybe mixing in there some selling of that density. I think that wouldn't be a bad thing in terms of just in terms of growth and earnings and whatnot for the company say nothing of evolving our shopping centres.
Mario Saric: And just maybe on the retail side, like retail GLA per cap has been coming down quite a bit because of the population growth and virtually no supply. Do you see like again of the population growth is all do you see any impact to your retail occupancy? Or is it simply that because there is loan to supply coming in, you expect to retain to be stable despite slower population?
Mitchell Goldhar: We were we were high occupancy or probably 99% occupancy for 10 years going back 10 years ago, long before we open, long before ins policies changed to increase population size. And obviously, because people don't shop, they shop where they shop for all kinds of reasons. And when you're strategically located, you've got certain tenants that are destinations that is a huge part of when you're your occupancy levels. But I see notwithstanding the growth in retail right now, I think retail square footage per capita will actually -- I mean, I think it could go down even further. It may go down even further. It's going to be interesting to see. I don't think it's really going to go up. And in its way down retail per capita from where it was 10, 15 years ago. Nobody built retail in the last 10, 15 years for all intents and purposes. And anyone who owned any decently located land that could potentially be retail, built residential. And a lot of it -- well, some of it was built on retail lands. And of course, the retailers weren't growing. They were worried about e-commerce and then the pandemic and countries kept growing. We are way down in terms of retail per square foot. My big asterisk is how much retail gets built on the ground floor of high-rise, which I don't know how much of that we can count. But even if you count that, I don't know. I think retail per cap is going to stay the same or go down and it's way down, which is good. And I think that who controls how much of that are very sound retailers because we're driven by retail demand. And so I think the Walmarts and the Loblaws and the Costcos of the world are very sober about how much square footage they want. And of course, their data is daily and we're watching population growth and whatnot. So I think we're in pretty good shape. I don't want to be naive or too optimistic, but I think from a retail landlord perspective, I think we're in good shape, all of us and I think we're particularly as I think we're very well positioned for the economic reality of Canadian. So I don't want to be too optimistic, but I'm kind of cautiously optimistic.
Operator: The next question is from Matt Kornack from National Bank Financial.
Matt Kornack: Just quickly on the blended leasing spreads and spreads anchor. You tend to report the bulk of it in Q1. And I guess we've kind of seen it hang in that 6% and 8%, respectively, range for this year. Can you give us a sense as to what 2025 looks like are you expecting to see an acceleration kind of on both of those metrics and on the blend generally?
Mitchell Goldhar: Rudy?
Rudy Gobin: I do think that this momentum that has started in the demand we're seeing for not only filling space and you'll see our occupancy, I think, continuing to grow. As Mitch mentioned, we were at 99% for over a decade plus I think you'll see that. Those are driving rates up. I think that is impacting certainly the lease extensions with tenants realizing what's happening in the market. And a full centre continues to want to be full with tenants standing in line, waiting to come in when they're space to come in or upgrading the quality of that income in our case, where we can because there may be tenants who aren't doing as well. So, yes. I see 2025 as building on what we're looking at now in Q3 and Q4, certainly.
Matt Kornack: Appreciate that. And then maybe quickly, Mitch, we're coming off a pretty historic condo development boom and a lot of that capital, notwithstanding obviously your comment on whether all of it closes, but presumably most of it will close. A lot of that capital is coming back to developers. When you discuss with kind of your peers on the development front, have they given you a sense as to what they're going to do with all of that capital when it comes back to them. And is there a position to kind of rebuild land banks and expand?
Mitchell Goldhar: I would say private developers, I used to be one, I mean -- and earlier in my career, I did get -- I did go through some difficult years because inevitably sort of almost have to by definition to extend yourself. So I have a feeling a lot of the capital that's still coming to developers is going to go towards commitments they've already made elsewhere on the debt, which is fine. And then, of course, at some point, we'll start buying again. I don't think there's too many private developers out there seeing developers sitting there with no properties that they bought at the peak or near the peak. And just waiting for it to all to roll in. I mean, generally speaking, the successful the helpers go on and buy another and buy another. So I guess they're going to have some cash at the end of the day. And then of course, they'll start to buy again and buy it maybe a little bit more cautiously. My feeling is they're just not from people that I know, they're just not quite in the mood. To sell them right now, you'd have to sell at a very low price and probably give them terms, but it might not be long before at six months, there'll be back to buying something more reasonable that they'll be back, yes.
Operator: The next question is from Pammi Bir from RBC Capital Markets.
Pammi Bir: Just hopefully a couple of quick ones for me. Just on the -- maybe building on the question around for 2025. Look, I mean you're obviously very well occupied. The renewal spreads have been moving in the right direction. Is it reasonable to perhaps think that for next year, the organic growth trajectory could be in that 3% range? Or is that maybe a bit optimistic just given where occupancy already is?
Mitchell Goldhar: I don't know, Peter, Rudy, you want to take that?
Rudy Gobin: Yes, Pammi, you're asking about same property, right?
Pammi Bir: Correct. Yes.
Rudy Gobin: Yes. I mean the -- I think the run rate is looking -- like we're looking at a run rate that should be in the 3% to 5% range. Obviously, the NOI has a lot of stuff built into it, including recoveries step-ups that Mitch mentioned earlier, where there's natural steps in the leasing this tenant demand percentage rent, all kinds of things, recoveries are built into the NOI. So I think the 3% to 5% range is probably a good run rate for us.
Pammi Bir: Well, certainly higher than what the company has put up over the long-term. So that's encouraging. In terms of just coming back to Q3, if I think back to last quarter, I think there was maybe a bit of a drag from the timing of recoveries was Q3 at all, I guess, close to 5% that you put up on same property NOI this quarter was there any sort of catch-up in recoveries maybe just came through in Q3 and then maybe that drops off or you don't see that catch up or maybe it drops off a little bit in Q4 or was Q3 a pretty clean quarter.
Rudy Gobin: I'd say yes, yes and yes, everything you just said. We are running everything with recoveries based on actuals. And so you might see a tiny bit of variability, but the run rate really looks good in terms of what you should be using. So if you're using that run rate, I think you're fine. But yes, there's going to be a little bit of seasonality to it because we are using actual costs to do our recoveries. So the tiny bit of seasonality is there. But for the year, I think you're fine with our run rate.
Pammi Bir: Last one, I promise. Just coming back to the comments around how you stretch your leases with -- from a renewal standpoint, aside from Walmart, which is flat. Are you doing any deals where the renewal or the tenant has a renewal option at a fixed rate or a flat rate?
Mitchell Goldhar: Yes, absolutely. We have lots of them but their bumps, I mean it's normal. But we have lots that don't lots that have. We deal with these. We're focused on patents. So we give them fixed renewal we give an extension at fixed rates, which are bumps. But at some point, we can't get comfortable after a certain number of extensions. So we go-to-market, we say fair market value. We have a lot of those coming up. But we have a lot of funds that are at fixed rates. And we have some where the lease is actually up. It's over. They have no extension. So obviously, it goes to market. So we've got more and more of those because of just the way it is. Our grid and butter non-anchor tenant deal is probably 10 years with one or two, five year options. So if you think about any deal we did like 20 years ago or something is like out of term. And then we have some larger anchors that were maybe they were 10 or 15 years with two or three, five year options. So some of those are 30 years or even 35 years are coming up. And so that's and the locations have changed exponentially. It's not just normal bump. So we've got a long run of that going, I think, for the foreseeable future, together with a lot of our locations are being -- are getting better, not just because of us and what we're doing, but because of what everybody is doing around us. So I think we're going to see some of that and that's when real estate really thanks to work kind of for you instead of you working for it. And we've got more and more of that coming up the road. But we're all over the map. So just giving a little bit more color.
Operator: The final question is from Sam Damiani from TD Securities.
Sam Damiani: I'll try and make this quick, given that we’re past hour mark. I just want to drill in a little bit deeper on the property NOI growth coming up 5% this quarter, which I think as someone else noted, was kind of a high watermark outside the pandemic for SmartCentres. Does that start for the REIT include expansions or intensifications? Or is that a same-store same space metric?
Rudy Gobin: Yes, the latter, Sam, no intensification, nothing in there other than same property same-store. So right out of there, I think as you've seen the momentum that was building and it hit mostly in the quarter, obviously, and it may hit again next quarter, is that the strong, strong demand coming from food and coming from new builds, asking us to build more into the site. The rents that's driving is driving the rents on the market for the NOI. So it's not construction that's driving it, but the higher demand is driving higher rents on our negotiation. And you've seen with the extensions it's near double-digit without anchors. So that's coming out in what we're seeing. And of course, it also here in the third quarter, it will pick up things that are all the other parts, which is better recoveries step-ups, like Mitch talked about earlier and so on. So percentage rent and all of that factoring into the same property.
Sam Damiani: And your comments earlier were also helpful. And I think one of the sort of factors you mentioned was recoveries, which for this quarter were a little bit higher than, I think last quarter on a regional basis. So again, just trying to, I guess, reconcile the sort of mid to upper single-digit leasing spreads, the amount of space that you roll over the year, occupancy is basically peaking you'll have easier comps, I guess, early next year. But it's just hard to mathematically back into a 5% or a 3% to 5% just given the operating metrics that we see. So the question is what else is at play? You mentioned recoveries. Is it new leasing? I don't think that's a metric that you guys disclosed, like if a space when vacant that was paying getting $12 maybe a year ago and you relet it for $18. Does that get into your operating metrics? I don't think it does. Or was there COVID relief that's now coming off for the first time, and that's a big tailwind for a couple of years kind of thing? What other factors might be at play?
Rudy Gobin: Yes. It's certainly not new construction, but a little bit of the latter part of the COVID relief may be coming in. But what's happened is, as you know, when we're intensifying our sites, we've leased near 300,000 square feet of space that's going to add to the base of our portfolio. And again, that's driving other tenants to see what the rents are coming in for new build construction, which is very good market rents. And like Mitch mentioned also earlier, we aren't a hard driving trying to get the maximum rent out of tenants like we're a value-oriented space and we want value for -- in our rents, too. So -- but when tenants are driving demand and competition for the same space, when there is no vacancy or a very limited vacancy and they want to be in certain spaces, what it forces us to do is look at how we can improve the quality of that income where we can move some things around. So there may be a little bit of shuffling around the deck in the portfolio. So I think you will see a little bit of that same property NOI growth continuing for a bit as this momentum keeps building. So I don't think it will be unusual at all to see us in that range.
Sam Damiani: I guess just to, I guess, wrap it up and you sort of said 3% to 5% is possible or sustainable through 2025, like what would change that beyond 2025? Is there some kind of one-time or temporary sort of tailwind that's helping 2025 that might not repeat itself in future years? Or is a long-term sustainable pace, assuming a steady-state situation?
Rudy Gobin: Well, I want to make sure I have the same answer as Mitch on that one, but my answer to that would be, in which may want to chime in as well on this one. We have a lot of land still remaining in our existing shopping centres and chop and land that we can still build retail on land we can build with intensification. So I think as we -- we're not out buying new shopping centres. So we're -- and the market generally isn't doing that. So you can see that the rise in the quality of our income is really driving a lot of that. And I think that is only going to get more of the same as they push to higher quality tenants in terms of 90% -- near 90% of our tenants are national or regional already. So we're trying to push that up and keep the tenant covenant quality as high as possible. So that will continue. I mean nothing will continue forever, but I think that will continue for a bit. So as far as we can see, based on the current demand we're seeing and the demand for new space, meaning new build space within a shopping centre, continuing and improving the mix. All of that, when you add it together, still looks very positive, yes.
Operator: There are no further questions in the queue.
Mitchell Goldhar: Okay. Well, thank you for participating in our Q3 earnings call, please feel free, of course, to reach out to any of us if you have any further questions. And have a great rest of your day. Thank you.
Operator: Ladies and gentlemen, this concludes the SmartCentres REIT Q3 2024 conference call. Thank you for your participation, and have a nice day.